Operator: Welcome, and thank you all for joining today's SBA's Second Quarter 2025 Results. Please note that this call is being recorded. [Operator Instructions] With that, I'd now like to formally begin today's call and turn it over to Mark DeRussy, VP of Finance.
Mark DeRussy: Thank you. Good evening. Thank you for joining us for SBA's Second Quarter 2025 Earnings Conference Call. Here with me today are Brendan Cavanagh, our President and Chief Executive Officer; and Marc Montagner, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including, but not limited to, any guidance for 2025 and beyond. In today's press release and in our SEC filings, we detail material risks that may cause our future results to differ from our expectations. Our statements are as of today, August 4, and we have no obligation to update any forward-looking statement we may make. In addition, our comments will include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our supplemental financial data package, which is located on the landing page of our Investor Relations website. With that, I will now turn over to Brendan.
Brendan Thomas Cavanagh: Thank you, Mark. Good afternoon. I'm very pleased with our second quarter results, exceeding our internal projections. Both the U.S. and international businesses performed very well, and we are pleased to increase our full year guidance across all key metrics, both in total and on a constant currency basis. In the U.S., activity levels continue to improve, and this quarter represents the sixth sequential quarter where bookings increased. While not at the peak levels enjoyed back in '21 and '22, positive momentum continues to build, and we are encouraged by the sustained levels of activity as carriers continue investing in their wireless networks. In addition, the trend towards more colocations continues driving more new point of presence with our key customers across our portfolio. Our carrier customers are working hard densifying their existing footprints, expanding fixed wireless access as well as pushing out into rural parts of the United States, where our portfolio is well positioned to capture that sustained network investment. The backlog also remains healthy which bodes well for the remainder of the year and into 2026. Consistent with our strong U.S. bookings, our services business outperformed our expectations and we are increasing our full year services revenue guidance by almost 20%. Most of the increase is related to construction services as carrier installations accelerate across the U.S. I am optimistic about domestic organic growth opportunities over the next year or 2 due to the specific initiatives of each of our major customers, but I am also optimistic about the long term. The growth in fixed wireless access subscribers for all of our MNO customers, the expanding number of AI intensive applications, 5G advanced enabled new use cases and the opportunity for incremental spectrum auctions are all supportive of sustained long- term growth. With regard to the spectrum, the recently passed federal spending and tax bill included the reinstatement of the FCC's spectrum auction authority, a positive development for us and our customers. In addition, as part of the new bill, 800 megahertz of spectrum will be identified and eventually auctioned to help boost network capacity and support the next generation of wireless technologies. This new spectrum will require new equipment at our cell towers, particularly at the higher bands that are not currently used for traditional wireless service today. Additionally, with bonus depreciation being permanently reinstated improving available liquidity from our customers, we could see greater investment in their networks as they have more capital available to invest. Similar to the U.S., our international business continues to perform well as our customers invest in 5G upgrades and ongoing densification. We signed a growing number of new leases in our international markets, and continue to expand our portfolio through high-quality strategic new tower builds and elevated CPI rates continue to support healthy tenant lease escalations. While certain international markets continue to experience elevated levels of churn, we believe this to be temporary and necessary for the long-term health and success of our customers. One area of challenge internationally is with one of our carrier customers in Brazil, Oi. As indicated in our updated full year guidance, we are increasing international churn by $5 million, primarily related to Oi. As previously disclosed, Oi Wireline, the remaining Oi business post the wireless business breakup, which is mostly point-to-point wireless backhaul, represents approximately $20 million of run rate revenue. On July 2, Oi filed an amendment to their judicial reorganization plan citing unforeseen financial difficulties. While many things remain unknown and will take time to work through the court system, we have booked a bad debt allowance for certain outstanding receivable balances and are now assuming that a portion of the recurring revenue churn this year and next year. We will continue to monitor the situation closely and provide any updates to our thinking as the situation develops. Turning to our portfolio review. I'm very pleased with the progress we have made recently. Both expanding our presence in key markets and exiting the market where we are currently subscale and could not see a path towards being a more meaningful player. On the former, we added approximately 4,300 sites through the partial early closing from the previously announced Millicom transaction, deploying $550 million towards enhancing our strategic positioning in Central America, making SBA the leading tower operator in that region. This early closing contributed to the increase in our full year guidance. As previously mentioned, this portfolio has a 15-year MLA, tenant contracts with the leading mobile network operator, contracts denominated in U.S. dollars, and comes with a substantial build-to-suit arrangement. We continue to expect the balance of the deal to fully close by September 1. With regard to the market exit, we are announcing the sale of our tower business in Canada. We entered Canada back in 2009, and we have had reasonable success. However, we have been unable to meaningfully grow our portfolio. And as a result, we made the decision to explore strategic alternatives. On July 21, we entered into an agreement to sell all of our towers and related operations to a leading global infrastructure fund. Today, Canada represents approximately CAD 27 million of annual leasing revenue in Canadian dollars and CAD 15 million of cash flow after taxes. As mentioned in our press release, we expect the deal to close sometime in the fourth quarter, but given the uncertainty in closing timing, we have made no adjustments to our full year outlook related to this transaction. Upon closing, we expect this deal to be immediately accretive to AFFO per share. I would like to briefly thank our Canada-based team for all of their hard work and contributions to SBA over the last 16 years. The portfolio review remains ongoing, and I look forward to providing further updates. In addition to portfolio acquisitions, you should expect SBA to continue to deploy capital towards a mix of share repurchases and/or debt reduction, as seen in our latest quarter and revised outlook. We continue to be committed to a balanced approach to capital allocation, opportunistically using each of these different options to invest in value-creating assets or to return capital to our shareholders. With that, I'll now turn the call over to Marc.
Marc R. Montagner: Thank you, Brendan. As the positive momentum from last quarter continues, we're increasing our full year outlook for all key metrics, including site leasing revenue, tower cash flow, adjusted EBITDA, AFFO and AFFO per share as compared to our last quarter guidance. The primary drivers of these increases included outperformance of second quarter results, higher straight-line revenue, the acquisition of Millicom towers earlier than expected in two international markets, an improved outlook for services, favorable foreign currency movement and a reduction in the share count from recently completed share buybacks. Second quarter domestic organic leasing revenue growth over the second quarter of last year was 5% on a gross basis, 1% on a net basis, including 4% of churn. $11 million of the second quarter churn was related to Sprint consolidation, which we still anticipate to be approximately $50 million to $52 million for the full year 2025. Our previously provided estimate of total Sprint-related churn over the next several years remain unchanged. Beyond 2025, we anticipate approximately $50 million of churn in 2026 and $20 million thereafter. Non-Sprint domestic annual churn continue to be between 1% and 1.5% of our domestic site leasing revenue. During the second quarter, 80% of consolidated cash site leasing revenue and 85% of adjusted EBITDA was denominated in U.S. dollar. International organic leasing revenue growth for the second quarter which is calculated on a constant currency basis was 0.8% net, including 7.5% of churn or 8.3% on a gross basis. Total international churn remained elevated in the second quarter, mainly due to ongoing carrier consolidation as well as the Oi wireless churn in Brazil. During the second quarter of 2025, we acquired 4,329 sites for total cash consideration of approximately $563 million, mostly related to the acquisition of sites from Millicom in Guatemala and Panama. The remaining 2,500 sites related to the Millicom transaction remain under contract and the guidance continues to assume a September 1 closing date. The ultimate closing date is dependent upon regulatory approval and other requirements and may differ from this date. We also built 94 sites in the quarter, mostly outside of the U.S. Switching to the balance sheet. We have ample liquidity from both available cash and a $2 billion revolver, which as of today, has a balance of $35 million outstanding. At the end of the second quarter, our weighted average interest rate was 3.7% across our total outstanding debt and our weighted average maturity was 3.2 years approximately. Including the impact of our current interest rate hedge, the interest rate of 97% of our current outstanding debt is fixed. And finally, our next debt maturity is a $750 million ABS security due in January 2026. I will conclude by discussing the recent credit rating update by S&P. We were pleased to see that on July 30, S&P upgraded our corporate credit rating to BBB investment-grade rating, driven mostly by S&P new criteria for digital infrastructure companies, the upgrade underscore the benefits of our stable and predictable cash flows and the positive impact on our U.S. revenue growth of anticipated increased wireless capital spending in the U.S. in 2026 and beyond. While we have made no change to our financial policy, this upgrade bring us one step closer to accessing the investment-grade debt market. And now I will turn the call over to Mark.
Mark DeRussy: Thanks, Marc. We ended the quarter with $12.6 billion of total debt and $12.3 billion of net debt. Our current leverage of 6.3x net debt to adjusted EBITDA, as adjusted on a pro forma basis for the Millicom assets remains near historical lows. Our second quarter cash net interest coverage ratio of adjusted EBITDA to net cash interest expense remained strong at 4.3x. During the second and third quarter, we purchased 799,000 shares of our common stock for $172 million, at an average price per share of $215.33. We currently have $1.45 billion of repurchase authorization remaining under our $1.5 billion stock repurchase plan. In addition, during the second quarter, we declared to pay a cash dividend of $119.4 million or $1.11 per share. And today, we announce that our Board of Directors declared a quarterly dividend of $1.11 per share payable on September 18, 2025, to shareholders of record as of the close of business on August 12, 2025. This dividend represents an increase of approximately 13% over the dividend paid in the third quarter of 2024 and approximately 35% of the midpoint of our full year AFFO outlook. Operator, we are now ready for questions.
Operator: [Operator Instructions] Moving to the first question in our queue, Jon Atkin with RBC.
Jonathan Atkin: I'm interested, first of all, in kind of the durability of the demand drivers that you indicated in your prepared remarks around FWA and densification and coverage and so forth. Any sense as to how far that kind of takes us through end of '25 and 2026 and the directionality around that? And then secondly, any thoughts on kind of the drivers of churn or maybe rent reduction initiatives on the part of some of your customers that occasionally comes up and how that might kind of tie into your forecasting as well as thoughts on MLAs.
Brendan Thomas Cavanagh: Sure. Yes. So on the demand drivers, all the things that we mentioned, we feel pretty good about from an extended standpoint. These things always obviously ebb and flow a little bit. But the fixed wireless piece being one of those, you've obviously seen what our customers have reported and the significant growth that they're seeing in terms of subscribers there. And of course, as we've mentioned before, what each of the subscribers represent relative to the typical wireless subscriber, which is a significant amount of additional traffic. So I think the more of that, that we see and their expectations in terms of the number of subscribers they expect to have 3 and 4 years from now would suggest that we're going to see significant network capacity taken up over the coming years. So I think as a long-term driver, that's definitely a positive. Some of the other things I mentioned, obviously, the new spectrum bands being auctioned off over the coming years. That's an extended period of contribution. So each of these things and just generally, the uptake in the amount of broadband traffic that's traveling through these wireless networks is significant. And I think the more of these AI enabled products and other things that kind of come into play is just going to continue to weigh on that. So I feel pretty good about the durability of it, and I think it will continue to require investment in the networks that we will benefit from for many years. In terms of churn, I think you're asking specifically about the U.S. based on how you said the question, Jon. But there's no real -- obviously, our customers always want to pay less if they can, but there's no specific initiatives underway that would result in lowering rents on any material basis. So I think the effort for us is just around continuing to work with our customers to allow them to achieve their network goals at a price that's fair and is balanced to them, but also is fair to us in terms of the capacity that we're providing and the help we're providing. And I think we've struck that bounce pretty well.
Operator: Moving to our next question, Richard Choe with JPMorgan.
Yong Choe: I just wanted to ask about the activity levels. It seems like there is a lot of colocation activity, but the revenue hasn't quite come through yet. Can you talk a little bit more about the timing there that you're expecting?
Brendan Thomas Cavanagh: Sure. Yes. Yes, we definitely are seeing, as I mentioned in our remarks, we're definitely seeing an increase in activity in terms of business being signed up. We also mentioned that we've seen that -- the trend of it moving towards more new colocations versus amendments compared to what we've historically seen. That trend has continued for us. And that's great in terms of a number of aspects of it, including the number of sites that we're now engaged with our customers at, but 1 thing that it does do typically is delay a little bit the timing of when revenue commences because you have more new leases. It typically takes a little bit longer to start to see those leases getting installed and revenue commencing than we used to do with amendments being a bigger share. But that's really just a timing thing. And if you notice, we've left our full year outlook for contributions from new leases and amendments the same. And as we see this activity, if you look at what's been contributed in the first half of the year, it clearly indicates that the second half of the year will have to have greater contributions in order to meet that target that we put out there.
Yong Choe: Great. And a quick follow-up on the services. I mean a real step up and it's going well. You mentioned a little bit about what's driving it. But can you give us a little bit more color on what is driving the services business?
Brendan Thomas Cavanagh: Yes, it's really the same thing. I mean, they're kind of related to each other, right? What we're seeing that's driving our leasing activity is also driving services. So on the site AC side, you have more effort to find locations and to get more deployments done, so we're supportive there. On the construction side, which is also up significantly, that's obviously more actual work being done, particularly with some of these builds that are spanning out into the more rural areas. And we are at SBA are actually doing more services work now, not just on our own sites but on other people's sites as well. And so that's been a driver of increased activity, too. And I think the more we're able to partner with our carrier customers broadly across everybody's towers. It creates a better relationship between us and them, and we can be counted on more. I think it helps us in the leasing gain as well. .
Operator: Moving to the next question in our queue, Batya Levi with UBS.
Batya Levi: Great. Maybe just a follow-up on the domestic activity. Just a slight slowdown in 2Q. Is that mostly rounding? And looking ahead, you mentioned that bookings growth is very strong. You had started the year strong. Are we seeing an acceleration in that growth rate? And I think in the beginning of the year, it was mostly one of the carriers that was very active. Are you seeing more broad-based activity now? .
Brendan Thomas Cavanagh: Yes. So first of all, on the second quarter slowdown, it is mostly rounding. I mean, the differences were actually -- we round to $1 million, but the difference is probably a couple of hundred thousand dollars, and it's not really indicative of anything in particular. In terms of the pacing of activity, it definitely has increased this quarter was probably slightly ahead of last quarter, but last quarter was also very strong. And so we would expect that, that will drive a pickup in the actual revenue recognized, as I mentioned a moment ago, as we head into the second half of this year and into next year.
Operator: Moving to our next question, Michael Rollins with Citi. Sorry, Michael, we're not getting any audio from your line. We'll circle back. Brendan Lynch with Barclays. Please go ahead, sir.
Brendan James Lynch: Brendan, I just wanted to follow up on your comment about AI application growth and that being a driver. To what extent are you seeing this now? And any outlook for the relatively near term would be helpful as well.
Brendan Thomas Cavanagh: Yes. So Brendan, some of these comments are a little bit thematic and they're based on conversations we have with our customers and just general traffic trends because it's hard for us where we sit in the value chain to have tremendous specificity around that. But based on -- conversation based on reviews done by our own engineering folks, we are seeing a number of products start to get out there where AI is being embedded into the devices that we believe will be a strong driver of increased activity, and that ultimately, obviously, is positive in terms of the amount of infrastructure needed to support it.
Brendan James Lynch: Okay. That's helpful. And then just on the Canadian asset sale, can you give any details about these assets in particular and why you didn't think you're going to be able to scale more meaningfully in the Canadian market? And how we should interpret that for any of the other markets where you have a relatively small footprint.
Brendan Thomas Cavanagh: Yes. So we've been in Canada a long time, as I mentioned earlier, it was actually the first international market that we went into 16 years ago. And so we've had a lot of time and experience there. The assets themselves were good assets. We had reasonable success in leasing them up over the years. The comment about the difficulty in growing is really about growing the portfolio size to continue to get to a bigger scale. And obviously, some of that was based on the fact that the carriers own their sites. You may have seen TELUS recently just kind of set up sort of a captive tower company with a private party investing in that, about 49% of that. And so breaking into that particularly not being a Canadian company was a little bit challenging. And so we built sites. We had some modest growth there, but the ability to really move to a place where we were going to be a significant player in that market, we just found to be challenging. And really, we would have continued there and I think have made reasonable progress. But it was an opportunity for us when we started exploring strategic alternatives to actually realize a valuation on our assets that was certainly much higher than our public company valuation. And so there was a financial benefit. And given what we saw as a limited ability to continue to grow our portfolio we thought that, that was the right thing to do for us financially. And I think it worked for us and the buyer because they have a local presence there and a different plan, and I think they'll be able to do well with it. But for us, it was -- I think it's just a better economic choice and it positioned us in order to focus on the markets where we can be of scale. On the second part of your question, in terms of what it means for other markets, it doesn't mean anything in the sense that what happens here is not necessarily exactly what happens elsewhere. But all of the markets that we're in, we are looking at through a lens of what is our potential going forward. And if we're subscale in a particular market, it is something that we look at in terms of, okay, well, how can we change that dynamic in a way that is favorable to us. And if we can't see a way to do that, then yes, we would look at it. And you've seen us exit a couple of markets, but you've also seen us expand in some of the markets where we were a little bit subscale, particularly Central America. And I think the expansion that we've done has made us much, much stronger. So if we can find that path, we frankly would prefer to do that. But if we can't, then we'll continue to look at what our options are in terms of downsizing, too.
Operator: Moving to our next question Jim Schneider with Goldman Sachs.
James Edward Schneider: I was wondering if you could maybe follow-on on your comments earlier, Brendan, with respect to fixed wireless. Obviously, it seems like customers are continuing to drive traction there. But is the activity level you're seeing for densification beyond -- going beyond the sort of single lead customer that was most aggressive originally, is that broadened to two or three of your customers at this point from what you can tell?
Brendan Thomas Cavanagh: Yes. I would say it has broadened. We're seeing more activity expanding among each of our bigger customers. So I do think that we'll continue -- what we've seen is a shift in that where I would say that there's still one customer that's probably heavier than the others at this point, but that gap is closing. And I think based on the trends of applications and the conversations we're having, I would expect that to continue to narrow and we will see all of them very active, and fixed wireless is one driver of that, for sure.
James Edward Schneider: That's helpful. And then maybe as a follow-up, given the recent announcements from U.S. Cellular with that deal closing as well as announcements from DISH, can you give us any kind of color on, again, just sort of reaffirming the level of exposure those represent for you? And any color you have in terms of planned churn or any kind of sense of whether there's any kind of change in revenue profile that you expect to recognize over the next 18 months or so?
Brendan Thomas Cavanagh: Yes. I mean at this moment there's no planned churn specifically, but just in terms of exposures on the U.S. Cellular piece, the total revenue that we have with U.S. Cellular is about $20 million a year. That's the total. I don't think we would expect to see all of that go away. But even if it did, it would be over a number of years. So I would expect the impact to be rather small. In terms of DISH, our total revenue with DISH is roughly around $55 million a year. That's a whole different situation. Obviously, U.S. Cell has sold and would have some overlap there with T-Mobile that would lead to some risk there. In the case of DISH, it's a different situation today. We continue to operate on an ongoing basis and serve them where we can. They still, in fact, sign some leases and some amendments. And so -- we'll just have to see where that goes.
Operator: Moving to the next caller in our queue, Nick Del Deo with MoffettNathanson.
Nicholas Ralph Del Deo: My first question on the Millicom towers. I'm sure you've had initial conversations with the other carriers in those markets about access net infrastructure. Can you share anything about the initial feedback you're getting and the degree to which it aligns with or supportive of the lease-up assumptions you've made for those assets?
Brendan Thomas Cavanagh: Yes. It's been actually quite positive. We're very encouraged about the opportunity there. I think it may even be better than we were thinking. And if you think about it, it's pretty logical. I mean, Millicom for the most part in each of these markets is the #1 carrier in many of the markets. And so that would suggest that they naturally have a deeper footprint. And in order to close that gap, the opportunity to have some of those sites opened up to the other carriers, they see as an opportunity to grow and to close the competitive gap there. So that's to our benefit. So we'll continue to see how it goes. Obviously, we just closed on the majority of the sites we've bought so far. We just closed on at the end of June. So we haven't had a ton of time there, but we certainly have been having those conversations and feel pretty good about the potential.
Nicholas Ralph Del Deo: Okay. Okay. That's great to hear. And then maybe one on Canada, but a different angle, just the use of proceeds. It looks like you're getting about USD 325 million. It's obviously a much more substantial chunk than you've gotten from some of the other markets that you sold. Any specific use of proceeds you're thinking about? Or should we just think of that as sort of debt reduction?
Brendan Thomas Cavanagh: Yes. I think you could -- it's somewhat fungible, Nick. I mean we have a variety of things that are going on. We obviously have another Millicom closing. So you could say it's used for that, if you'd like. You could say it's used for debt reduction, share buybacks, dividends, whatever you want. We have kind of the pool of capital allocation, this is just another source of proceeds that allows us to basically keep our leverage a little bit lower and manage those expenditures.
Operator: Moving to our next caller, Ric Prentiss with Raymond James.
Richard Hamilton Prentiss: Yes, there's a little feedback first. Can you hear me?
Brendan Thomas Cavanagh: Yes. Go ahead, Rick.
Richard Hamilton Prentiss: Yes. One just a clarification. So on the Sprint churn, $50 million expected in '26 and then $20 million thereafter, that's a grand total of $20 million thereafter, right? That's not like $20 million a year. That's the end of the Sprint churn is the $20 million that's post '26?
Brendan Thomas Cavanagh: That's right. Yes. And I would expect most, if not all of that will be in 2027. Really, we said thereafter because the exact timing tends to change. But yes, it's a grand total.
Richard Hamilton Prentiss: Okay. And then back to the Canadian sale, I think you said CAD 27 million lease revenue. And was that CAD 15 million after-tax cash flow? Was that also Canadian? And is that like an AFFO type of number?
Brendan Thomas Cavanagh: Yes, Rick. I mean, yes, the terminology we used was probably a little funny only because AFFO obviously takes into account interest and there's no -- that we really weren't counting out interest. But basically, what that represents is adjusted EBITDA less taxes -- I guess, less maintenance CapEx, too, which is small, but basically less taxes because we're an income taxpayer up there. So it's essentially AFFO, yes.
Richard Hamilton Prentiss: Right. And so your comment kind of pointing to that would imply like a 30x multiple on an AFFO type basis up there, if I'm doing the math right?
Brendan Thomas Cavanagh: Yes, that's right. In order to be totally fair, though, we will pay a capital gains tax on the gain on the sale of the assets. So it will end up being in a mid to upper 20s is what the multiple for practical purposes will be.
Richard Hamilton Prentiss: Makes sense. But again, it just tees up the privates are paying more than public, it seems. Help us understand as you look at your leverage, I think you've said you want to keep looking for M&A opportunities, and that's why maybe you don't go investment grade yet. But just help us understand, it seems like it's really hard to win external growth opportunities, if it really is winning when you have to pay up. And just kind of as you think through longer term, the balance sheet, debt, investment grade and what it might mean for ultimately kind of dividend growth rates.
Brendan Thomas Cavanagh: Yes. I think that, that's obviously a fair statement. We've been saying it, it feels like for many years now that there's this disconnect between public and private market valuations. And as a result, you haven't seen a ton of M&A, you haven't seen what we did in the early part of our history. I mean, forever, we were known and by design were the kind of highly levered M&A-heavy growth company, and it's been harder to be that now largely because -- obviously, cost of debt has gone up, but we could absorb that if there was a reasonable adjustment in the valuations of assets. We just haven't seen that. And so it's caused us to have to be on the sidelines more. So yes, I mean, it affects obviously the way we think about the future planning for our balance sheet. And you've seen our leverage come down over the last year or 2. And if we can't see a place to continue to invest meaningful capital because others just are simply willing to pay more than that results in us doing other things, whether it's buying back our own stock or even moving our debt down and moving closer towards that investment-grade rating.
Richard Hamilton Prentiss: What do you think you need to get at to get investment grade given your mix of portfolio in the U.S. and LatAm and Africa?
Brendan Thomas Cavanagh: Yes. Well, I mean you heard Marc mentioned earlier that we were just upgraded by S&P, at least our corporate rating was upgraded to an investment-grade rating just last week. So I don't believe we need to do a whole lot. It's really a matter of policy and probably the mix of our debt. The secured versus unsecured debt is really probably the main thing. In terms of leverage, though, I don't think we need to do much.
Operator: [Operator Instructions] Moving to our next caller, Michael Rollins with Citi.
Michael Ian Rollins: Can you hear me now?
Brendan Thomas Cavanagh: Yes, we can hear you Mike.
Michael Ian Rollins: So I'm just trying to think about maybe longer term, can you help us with what is the right or fair level that SBA should be able to grow AFFO per share on an annual basis. And when you think about working through some of the things that you've been talking about, whether it's international, merger churn, domestic merger churn, normalizing domestic leasing, absorbing a higher cost of debt. What inning are we in to get to that future annual run rate opportunity?
Brendan Thomas Cavanagh: Sure. Yes. I think the biggest thing, Mike, I mean we have some of these things, obviously, with the Sprint churn and even the international churn to a certain degree, although it's not that much. The biggest issue is the interest rates. We have -- you know that we have $12.5 billion of debt today. Much of that has a very low interest rate. We mentioned our average interest rate, I think, is 3.7%, and that includes some recent financings at much higher rates. So there's a lot of low-cost debt in there, which is great, but it's -- it will come due over a number of years, and that's a pretty significant headwind. If you normalize for that item, which eventually obviously, we will get over then you're looking at a mid- to high single digit AFFO per share growth rate that would be very comfortable we could maintain. But you asked what inning. It's hard to say what inning exactly, but we're several years really from getting to that, I believe, depending on what happens with interest rates. We may find that there's a more rapid reduction in interest rates, and that would actually help us. But even without that, our next three maturities all have a one handle on their current interest rate coupons. So you can imagine that it's a significant difference in terms of that. So as we brought our leverage down, it's helped with that a little bit, but that's really the biggest issue. But as we move beyond that, I think the steadiness in terms of growing the business organically will continue and we're able to operate more and more efficiently all the time. So I feel good we'll continue to grow it otherwise.
Operator: Moving our next question, Eric Luebchow with Wells Fargo.
Eric Thomas Luebchow: Brendan, I wonder if you could talk just about the investment-grade conversation a little bit, like what type of spread differential you think you could get on your debt versus potentially giving up flexibility to lever up if you see some more compelling investment opportunities down the road or opportunities to buy back your stock. How are you thinking about balancing that over the next couple of years?
Brendan Thomas Cavanagh: Yes. Well, right now, we are -- we have not gone investment grade and part of it has been to retain that flexibility. But we also have seen our leverage come down meaningfully. So that has allowed us to have a lot of capacity. I mean, you saw, obviously, we did a $1 billion deal here with Millicom, and it hardly has an impact. So we have a lot of capacity, it would really only be for something really, really sizable. And it's hard to change your whole policy, hoping for or waiting for something of that magnitude to come along. So I think as we think about it, we'll continue to look at our options as our upcoming maturities come along. In terms of the impact on cost of debt, I think it's not huge, and it's not huge mainly because we've been an issuer of a substantial amount of our debt in the ABS market, and that has been investment-grade rated paper in that market. And so we've been able to achieve what were very close to investment-grade type of rates through the use of that market where we would be able to see a benefit, I think, is on the unsecured paper, we would probably be able to see that at a better rate than what we've historically been, able to get in the high-yield market and even perhaps our term loan, we could improve slightly. But if we do that math around all those things, and we think about what might it look like if we made a shift there and what are the things we're giving up, I actually don't think we would be giving up too much. And so we continue to explore this a little bit further, frankly, because it's just naturally moving in that direction.
Eric Thomas Luebchow: I appreciate that. And just maybe one follow-up. On the domestic leasing outlook, I know you kept it stable for this year. You should be at $10 million or $11 million or so in the back half. And just wanted to think through some of the moving pieces. I know it's a little premature to talk about 2026, but based on the bookings of the last 6 quarters. Do you see an opportunity to accelerate that further that run rate going into 2026? Or are there any other mitigating factors that we should keep in mind?
Brendan Thomas Cavanagh: Yes. I think it's a little premature for me to speak to that. You're right that the run rate at the end of the year will certainly be higher probably in that $10 million, $11 million range. So we'll be at a run rate leaving the year that's certainly higher than this year's contribution was. As to whether that can go higher, it certainly can, but I think it's too early. Usually, we have to see something that's in that 6-month window prior to the period that we're reporting on. We feel very good about what the second half of the year looks like, it's a little harder to say with absolute certainty about next year. But the trends are good. The backlogs continue to grow, the carriers are active. And so right now, I feel good about things. But I don't know whether that means it stays at the same level or it grows, and we'll let you know that when we give 2026 guidance.
Operator: Moving to our next caller David Guarino with Green Street.
David Anthony Guarino: Brendan, on your question about new spectrum potentially being auctioned. I was wondering if you could share some thoughts on how high the frequency can go before it won't propagate well from a macro tower site. And then also how quickly do you think the FCC could give auctioned spectrum into the hands of the carriers, if it was to be auctioned?
Brendan Thomas Cavanagh: Yes. I think -- well, certainly, the new spectrum that's talked about being auctioned as part of the bill that was recently passed in Congress, there will be different periods and different bands that will be auctioned along the way. The stuff that's longer term that hasn't been explicitly identified, but there are bands that have been named to be considered are the higher band stuff. I think it will propagate fine, but it will definitely require different and new radios and antennas in order to do that. So that's favorable to us. And I do -- I still believe that macro sites will be the primary way to get that spectrum deployed and used. It will still be the most efficient way. So I think what's being talked about is still very much a macro-oriented solution. And then, I'm sorry, David, what was the second part of your question?
David Anthony Guarino: Just on the timing of when you think it could get in the hands of carriers?
Brendan Thomas Cavanagh: Yes. So I think the stuff that's going to be auctioned, there's like 100 megahertz that has to be auctioned by next summer, I believe, is the deadline mid-2026. And I would expect that, that piece probably would be able to be cleared in the carriers' hands within 2 years or so following that. The other stuff, I think, is going to be much later. Even if it's auctioned in '28 or '29, you're looking at several years to get it cleared, you have DoD spectrum in there. So it's probably into the next decade before we start to see that.
David Anthony Guarino: That's helpful. And then one quick one on the guidance lift. Did you guys -- sorry if I missed this, but did you say how much of the earnings guidance lift was a result of the Millicom towers closing earlier than anticipated?
Brendan Thomas Cavanagh: I don't know that we gave that. I think we said $16 million of revenue was due to the earlier closing of Millicom. So of the revenue increase -- leasing revenue increased $16 million of that was Millicom.
Operator: Moving to our next question, Benjamin Swinburne with Morgan Stanley. .
Benjamin Daniel Swinburne: Brendan, not sure if you heard EchoStar's call on Friday, not to put you on the spot, but they announced a big LEO project. I'm not sure how they're going to fund it. But nonetheless, their pitch on the call was really about offering the satellite constellation network to carriers, making the argument that it would create more efficient network structures, particularly in rural areas where they're inefficient today given how much they have to spend on terrestrial coverage, et cetera. I just didn't know -- I know you've talked about satellite as a player in the market and whether that is or isn't a competitor to the tower business, but this was a little bit of a new angle on it. So I was curious if you had any thoughts or any comments on how you see the growing satellite business potentially competing or not or complementing towers?
Brendan Thomas Cavanagh: Yes. I think, well, just generally, our belief, we spent a lot of time looking at this. As you can imagine, it's been a question that's come up for a while and just for our own sake, we want to kind of have an informed view on it. And we're pretty comfortable that it is a complementary solution. What it really comes down to is locations that are challenging to cover economically to cover from a traditional macro standpoint. Everything could be covered that way, but the cost in some of these more rural areas where you have less POPs or it's harder to get a fiber-based backhaul, that kind of thing. Satellites become a pretty good solution to do that. But it's modest coverage. You can't do some of the things that you could do in an urban or suburban community with your device, but you can get basic connectivity. So I don't really look at it as something that is truly competitive. I look at it as something that is complementary. And if -- in case of EchoStar, I don't know anything more about it than what they said, and I'm sure you're more informed than I am Ben on it. But what I gathered from that is that if they are able to come up with that solution, that, that would certainly be something I would consider very favorable for the tower industry in that it's a complementary solution to go with their existing terrestrial solution and that they would be able to be somebody who can provide sort of a distinct competitive offering compared perhaps to the other carriers. And so we would be supportive of that certainly in whatever way we could be. But in terms of the viability of it and all that, I just don't know. I guess we'll have to see.
Benjamin Daniel Swinburne: Yes. Yes. No, makes sense. And then just a quick one on the guidance. I think there was an increase in the domestic straight-line revenue for the year versus your prior guide. Correct me, if I'm wrong, I don't know if you talked about that in the prepared remarks, but is that just a lease amendment or something that you could explain?
Brendan Thomas Cavanagh: Yes, we -- what that is, yes, there was an increase there. And what that basically is, is the under the -- I'll just tell you straight out, under the AT&T MLA that we signed a couple of years ago, one of the things that exists in that is to the extent that they do any upgrades at any sites, there is an extension to the term of that existing lease. And so when the term is extended, it ends up having a favorable straight-line impact. So that's really what you're seeing there.
Operator: [Operator Instructions] Michael Funk from Bank of America.
Michael J. Funk: On the call, you mentioned bonus depreciation and increase in carrier cash flow. I think most of the carriers mentioned earmarking that primarily for fiber build among other projects. Just curious if your conversations with the carriers have discussed incremental tower or wireless net builds as well?
Brendan Thomas Cavanagh: Yes. I mean we don't have a discussion with the carriers that's explicitly related to what they're doing with bonus depreciation benefits. But what we do talk to them about is their general network plans over the longer term and the needs that they have, which we believe will support continued network investment in the wireless side. I'm sure some of the benefits that they'll get from a tax savings will go into fiber as well. And as I said in response to your question about our own capital allocation earlier, to some degree, it's fungible. What's good about it is that there is excess cash available to them to invest broadly in their network initiatives, whether that be fiber- based or wireless. So I think wireless will benefit from that, too.
Michael J. Funk: And just curious on AI app comments you made earlier as well, but your engineers looking at the AI app and the usage. Do you have any quantification of the increase in traffic or usage of AI app.
Brendan Thomas Cavanagh: I do not have anything specific that I can give you now. But perhaps over time, that's something we'll be able to share more with. I think as it develops, there will be more data available on it, but it's a little premature for that.
Operator: With that, there are no further questions in the queue.
Brendan Thomas Cavanagh: Great. Thank you. Thanks to everybody for joining the call, and we look forward to following up next quarter.
Operator: Thank you to all of our speakers, and thank you all in the audience for joining us today. With that, our call is concluded, and you may now disconnect.